Said Darwazah: Good morning. Welcome, so, this year 2016 has started quite well for us. The group has delivered a solid financial performance and we've continued to make excellent strategic progress. In particular we're obviously very pleased to have completed the acquisition of Roxane Laboratories which we now refer to as West-Ward Columbus. You can see from the slide that has really changed the shape of the group and it gives much more balance to our diversified business model. We're making good progress with integration, 2016 is a transitional year and as we've previously announced we've experienced some delays in new product launches. We're confident in the strength of our R&D and commercial capabilities and our ability to realize the full potential of our large and differentiated pipeline. We remain on track to achieve the revenue growth and cost synergies [indiscernible] ourselves for 2017. Across the rest of the group our businesses are growing well and we continue to focus on pipeline execution and development. We launched a number of injectable products in the first half and we're very happy with the pace at which we're reintroducing the Bedford products to the U.S. markets. We've significantly increased the amount we’re investing in R&D and we're making good progress with our expansion plans for injectable manufacturing which will support future growth. In MENA we've launched some interesting new products this year and improved product mix and focus on operating efficiencies is delivering strong profitability. I'll talk about all these things in more detail shortly, but first I'll hand it over to Khalid to go through the financial results.
Khalid Nabilsi: Thank you, Said. Good morning, everyone. I will start with a quick summary of our performance in the first half. Looking at group revenue you can see there was a large step-up from the first half of last year. Following the completion of the West-Ward Columbus acquisition at the end of February we've consolidated the results of that business, adding close to US$200 million of revenue in the four month to June. In constant-currency group core operating profit was US$197 million, down from US$204 million in H1 2015. This reflects a lower contribution from specific market opportunities for the U.S. generic business, as we expected and this also reflects an increase in investments in R&D expense. 2016 is a transitional year for the West-Ward Columbus business and profitability was minimal in the first half. In constant-currency core basis EPS was $0.562 per share compared with $0.714 per share in H1 2015. This reflects the 40 million of new shares that were issued to Boehringer Ingelheim in February 2016 as part of the consideration for the West-Ward Columbus business, as well as the lower profitability in H1 2016 compared to H1 2015. The Board is recommending an interim dividend of $0.11 per share in line with H1 2015. Injectables, global injectables revenue was up 4% in the first half and up 5% in constant currency. In the U.S. revenue grew 2%, as expected revenue from specific market opportunities continued in H1 2016 but was lower than it was H1 2015. The decrease was more than offset by good demand across our broad portfolio and we had number of new products launches. Including the ongoing reintroduction of Bedford products. MENA injectable revenue was flat and up 7% in constant currency. In Europe revenue increased 20% driven by good growth in both on product sales and contract manufacturing. Injectable gross margin was 63%, in line with H1 2015. This excellent profitability reflected the favorable product mix in the U.S. with a continued strong contribution from specific market opportunities and other high value products. As well as the ongoing re-launch of the Bedford products. Core operating profit in H1 2016 was in line H1 2015. Core operating margin was 40.9% compared with 42.4% in H1 2015. This high margin reflects the strong gross margin and was achieved even with the significant increase in R&D investments related to new product development. We continue to expect injectable revenue growth to be in the mid to high single digits for the full year. Due to favorable product mix, we expect core operating margins to be around 38%. If certain specific market opportunities for our U.S. injectable business continues through the reminder of the year, there may be scope to increase our full year guidance for 2016. Moving to the generics, generics revenue was $257 million in the first half. Legacy revenue was US$64 million compared with US$79 million in H1 2015. This reflects lower revenue from specific market opportunities and the required divestment of certain Legacy products, partially offset by steady grown in colchicine sales. Post completion of the acquisition in February West-Ward Columbus contributed revenue of a $193 million in H1. West-Ward Columbus marketed products performed in line with our expectations. However overall revenue was lower than we expected as a result of slower approvals for certain new products. These products have now been approved and there delay had an impacted on H1 sales. We expect this revenue shortfall to be largely offset by an increase in lower margin contract manufacturing revenue in the second half. So we continue to expect revenue for the combined generics business to be in the range of US$640 million to US$670 million for the full year. Core operating profit of the combined generics business was $8 million in the first half. Reflecting the mix of sales and the high operating cost of the West-Ward Columbus business. After taking into account the amortization an exceptional items the genetic operating loss was US$9 million. We expect core generic operating profit to be in the range of US$30 million to US$40 million for the full year. Reflecting the adverse change in revenue mix and higher than expected cost, due to the timing of pipeline related litigation. We expect core generic operating margin to improve during the second half of 2016 and in 2017, driven by increased colchicine sales, the launch of higher value of products from the West-Ward Columbus pipeline, and the implementation of identified cost saving opportunities. Moving to branded business, strong currency headwinds across a number of MENA markets negatively impacted branded revenue in H1 2016. The overall impact was around $20 million. In constant currency revenue grew 1% on reported basis revenue decreased by 6%. We achieved double digit growth in Algeria and Egypt, two of our key markets. We had a slower start to the year in adjacencies [ph], but we expect stronger sales in the second half. Across the region we have continued to focus on strategic product and controlling operating cost and we are seeing the benefits of that. In H1 2016, we were able to absorb the significant currency impact and maintained profitability. In constant currency core operating profit grew by 28% and core operating margin was up 5.5 percentage points, a significant improvements. We remain on track to achieve our guidance for the full year. We expect revenue to be in line with the historical trends on constant currency basis, with stronger revenue in the second half reflecting the usual seasonality of this business. We expect an improvement in branded core operating margin compared with 2015. As a results of revenue growth a focus on higher margin products and increased efficiencies. Primarily as a result of the West-Ward Columbus acquisition, we have a number of adjustments between the core results and the reported results for the group this year. These slides provide a reconciliation between these figures and H1. As you can see, the adjustments related to amortization charges, inventory related adjustments, acquisition, integration and other costs, a contingent liability release and the proceeds from the divesture of certain products. There were also non-cash expenses included in net finance expense, which related to the re-measurement of contingent liabilities. We have updated our previous estimates of these adjustments for the full year and included these as an appendix to the presentation. Cash flow, group operating cash flow was $99 million in H1 2016, down from $125 million in H1 2015. Excluding acquisition and integration cost related to West-Ward Columbus group operating cash flow was $134 million, up 7%. Improved cash collection in MENA more than offset the lower contribution from specific market opportunities for the genetic business. The primary uses of cash were CapEx and product related investments. Capital expenditures was 55 million in H1 2016, up from 37 million. Over half of the group CapEx was invested in the U.S., maintaining and expanding our injectable and non-injectable manufacturing facilities. In Europe we are expanding our injectable manufacturing capacity for lyophilised and oncology products. We also made investments to maintain our facilities across MENA including Jordan, Saudi Arabia, Egypt and Sudan. We expect group CapEx to be around 150 million for the full year in 2016. We have significantly increased our spend on R&D this year, including the product related investments that we capitalized, the combined R&D investment was 69 million around 8% of group revenue up from 4% in H1 2015. Around half of our R&D spend was by the West-Ward Columbus, where we are continuing to develop our differentiated pipeline to drive a future growth. R&D for the injectable business was also higher in H1 2016, due to our increased investments in product development and the ongoing transfer of the Bedford products. As well as internal R&D investment, we continue to build our pipeline through product development partnerships with third party primarily in the U.S. For the full year we continue to expect group R&D expense to be around 150 million excluding product related investments. Balance sheet, the balance sheet at June 2016, remains strong. Net debt was 819 million which was 1.8 times EBITDA. The increase in net debt from December 2015 was primarily due to the cash consideration of 575 million required to complete the West-Ward Columbus acquisition. We also completed the acquisition of EUP in Egypt for a cash consideration of 38 million. We continue to expect net finance expense to be around 62 million for the full year. In addition we expect non-cash expenses related to the re-measurement of certain contingent liability to be around 17 million. Finally the outlook for the full year, this remains unchanged from the trading update we gave on the 3rd, August. We continue to expect group revenue to exceed 2 million after the consolidation of 10 months of West-Ward Columbus. We continue to expect our injectable business to grow in the mid to high single digits with core operating margin of around 38%. For genetic which includes the consolidation of 10 months of West-Ward Columbus, we are expecting revenue in the range of 640 million to 670 million and we expect core operating profit in the range of 30 million to 40 million. We continue to expect branded business to perform in line with historical trends in constant currency, and we are targeting continued improvement in core operating margin compared with 2015. Thank you very much for your attention, and I’ll hand it back to Said.
Said Darwazah: Thank you, Khalid. Okay I'll start with the injectables, as you can see from the slide we've really come a long way in a short period of time. The net investments we've been making to build our product portfolio, pipeline and capacity mean we're well positioned to take advantage of the growth opportunities in the injectables market. Moving forward we'll focus on three key strategic objectives. We'll continue to work on enhancing our pipeline through developing differentiated and more complex products with high barriers to entry. We look to build new capabilities including deliver systems such as pre-filled syringes and complementary products like opthalmics. And we'll be looking for new markets where we can leverage our portfolio. Our broad product portfolio and large manufacturing capacity across Cherry Hill, Portugal and Germany allow us to be one of the largest volume suppliers in the market. The large number of products acquired from Bedford have enhanced our customer offering, adding important products to our portfolio. We're focused on growing our market share by value. Bedford is more difficult to make products and the more complex products we're developing both in-house and with partners, will improve our market share by value. As I was saying on the previous slide Bedford has not only improved the overall mix of our portfolio but has also significantly expanded our product offering. From the 82 Bedford products we acquired we've successfully transferred over 30 to our facilities in the U.S. and Europe. We've reintroduced six products to the market including the most recent launch. I wish I could pronounce that -- Levoleucovorin. Who comes up with these names? Levoleucovorin. This is our first product to have been successfully granted 180 days exclusivity in the U.S. market. This truly demonstrates the strength of our regulatory and R&D capabilities, executing our strategy to develop more differentiated products in the market. We're still expecting to launch around 20 products by the end of 2017. We continue to strengthen our injectables business in Europe with a focus on new markets entry. Our team there has done a great job registering products across multiple European markets, we've also identified certain Bedford products to add to our European portfolio. We have a large number of products pending approval and we expect these to come through in the next 12 to 18 months. And through '15 we transferred a substantial amount of high quality equipment from the Ben Venue site to our European operations building capacity to support future growth. In Portugal we're adding significant new capacity including lyophilizers, bag lines [ph] and the dedicated oncology facility. We’ve made good progress in MENA this year, we see excellent opportunities to build a stronger market presence. We now have a dedicated sales team with more focused promotional efforts. At the same our BD team has been more active in identifying new opportunities for innovative injectables products. Our newly acquired plant in Egypt, EUP gives us access to a broad portfolio and we've launched three products this year. We will continued to focus on product registrations, we have a strong pipeline of close to 200 products, which will drive future growth. Moving on to generics, we’ve really transformed our generics business this year with the West-Ward Columbus acquisition. I’ve talked before about this strategic rationale for this acquisition but I think that’s what repeating, the key reasons why I’m so pleased to have, we’ve added this business to Hikma group. Most obviously, we’ve gained the scale we need to be a top player in the U.S. generic market, adding over 100 marketed products of our portfolio. The key to this acquisition for us is the product pipeline and R&D capabilities that West-Ward Columbus brings. This is what will enable us to deliver a sustainable long term growth. We were very happy with the pace of the integration, I have mentioned this before but both teams are working extremely well to the other. Of course there is still lot of work to be done and the teams are working very hard, but in only a few months made very good progress and we’re on track to achieve cost savings in the range of $35 million to $45 million by the end of 2017. We have the U.S. team here with us today. And they will be a more than happy to provide more details on this. As you know we’re expecting West-Ward Columbus to deliver significant growth next year, the key driver will be new product launches. West-Ward Columbus currently has over 60 products submitted at the FDA. Many of which are well along in the approval process. Off course the timing of approvals can be unpredictable, but we’re very confident in the strength of our R&D and the regulatory capabilities. One of the launches that we’ve targeting for 2017 is generic Advair and our guidance assumes we can launch this in the second half of the year. As we as focusing on new launches, we’re working to optimize the base business and improve the product mix. We assume there is increased competition for our existing market proprietary [ph] products and so we’ve factored normal industry erosion into our guidance. For 2018 and beyond, we have some interesting products in the pipeline, some of which you already know about like Sodium Oxybate. The pipeline includes the further paragraph four products and we have ten to fifteen in active litigation. This business has excellent R&D capabilities and is going to continue to make significant investment to support future growth. Overall we remain very positive about the opportunity for West-Ward Columbus. The branded business. In MENA we continue to execute our strategy of launching high value products and we’re pleased with the progress this year. Maximizing the potential of these product launches is key. This is why we remain focused on being the first or second generic on the market. We have successfully launched first generics in our two biggest markets, Algeria and Saudi Arabia this year. Across the region all of our 2016 launches have been in more chronic therapeutic categories. For example we have successfully entered the Hepatitis C market in Egypt and launched new oncology products in Jordan and Tunisia. We have also launched two in license respiratory products in Saudi Arabia and Sudan. Our continued focus on higher value, strategic products is enabling us to maintain a strong position and competitive edge in the regions. The quality of these launches reflects the strength of our BD team, our corporate R&D as well as our local R&D centers in our key market such as Egypt, Algeria and Tunisia. We’ve build a strong pipeline in the region and we expect more launches to come in the second half of 2016 and the future. Khalid mentioned earlier that even with the challenges we are facing in the region, we have managed to improve our profitability this year. This was really a great achievement. Our high quality plants continue to provide us with many advantages. A key component of our strategy is to continue to focus on ways to further improve our productivity and enhance efficiencies, across all departments, functions and operations and all of our markets. We have been managing to successfully target cost savings in each market and are really seeing the benefits of that. In addition to our internal offers they are also working with third party consultants to help us further build on this initiative, and we’ll be done implementing the recommendations starting with our plants in Jordan. This remains a priority for us going forward and our teams will continue to target further improvements to achieve sustainable cost savings. So in summary, overall the group is performing quite well and we continue to make excellent strategic progress. I'm confident in the strength of our management team and our expensive R&D manufacturing and commercial capabilities, to deliver the enhanced growth prospects we have for the group. Our key focus remains pipeline execution, particularly with the differentiated progress Columbus and Bedford pipeline. At the same time we are continuing to increase our investments in R&D across the group to ensure sustainable long term growth. Thank you and now we can take your questions.
Q - Max Herrmann: Max Herrmann from Stifel, just a few question if I may. Firstly, just to get an idea on Bedford products and you gave a few years ago now, target of $150 million of sales by 2017, or in 2017 from those products. I just wondered whether the expectations is still on track, obviously the number of products are. That business I believe had revenues from products of about $400 million prior to the FDA closing the facilities. So wondered whether it’s the delta between those, whether there is any ability to in the longer term close back that gap between your target and historical run rate of Bedford? Secondly, just in terms of the Advair, business for next year, you talked about the second half launch. So that means you are not able to, or are not planning to launch until you get the approval on the 10 of May, the GDUFA date, is there a need to wait before you launch or would you launch as soon as you get approval? And then finally just on the cash-in and obviously cash flow seemed to be a bit better. I believe you paid a little bit less in cash terms for the acquisition in the end, I am just wondered [indiscernible] understanding where you think cash will end up at the end of the year given the various factors and the exceptional cost? Thank you.
Said Darwazah: Thank you. We actually ended that paying about 1.6.
Khalid Nabilsi: We have paid in cash 1.5 and there is 224 contingent liability and milestones, so 1.7 in total. But the actual cash is 1.5.
Said Darwazah: Mike you want take the Advair.
Mike Raya: Yes, in terms of Advair our GDUFA date obviously has not changed, it's still going to be May of next year. We gave a second half guidance. We are not saying that we are not going to be prepared for launch on the GDUFA date expiration, but just for conservatism we’re saying that we are going to launch in the second half.
Khalid Nabilsi: In terms of Bedford, as we mentioned we are on target, even ahead of target in terms of products that we transfer [ph] to different facilities whether in Europe or in the U.S., Cherry Hill facility or in Portugal and we have so many products that we have launched over the past year and this year that contributed a lot to the topline, offsetting the decline in certain market -- specific market opportunities. So we are on target, there is no change in our guidance for next year in terms of net revenue coming from Bedford. Of course the more product that we transfer there would be scope as well to increase overtime. But it's very hard at the moment to see what would be the opportunity, where the price lands. So it's very hard to see the delta between 400 and how we are going to achieve [indiscernible]. But we will keep updating the market. But if you want to think about the injectable, it's a business that we’ll continue to grow in a single digit at the same time margins should normalize in the range of -- over the medium term I would say 30% to 35%.
Said Darwazah: In terms of cash available for acquisitions, I think we have said we have about $600 million to $700 million availability now, and we -- it will increase by the end of the year or next year. Usually our acquisitions strategy is more long term focused, so we are looking at different opportunities, we are looking -- in addition to the BDTs [ph] that are looking for product and smaller opportunities for us. So we will remain active in the acquisition front.
Jill Walton: Jill Walton from Credit Suisse. Three questions please, to return to Advair, just to be clear, you filed for an interchangeable generic, if you get approval, should we assume that it is either you get a full approval for an interchangeable product or you get a rejection and you have to try again for a non-substitutable generic? And I wonder if you could also tell us a bit about how you’ve been talking to payers. Clearly you should be approved within the next contracting round, so have you been able to discuss with payers, their potential attitude to a product if it comes through? And then just looking at your longer term investments there is a couple of statements in your presentation that look very interesting, on Page 21, when you are talking about Bedford, there is the potential for stronger relationships with distributors and suppliers, I’m wondering if you could expand on that a bit? And also looking at the European business, you have talked about some markets -- new market opportunities, I wonder if they are going to require some sort of upfront investment and therefore they might depress your margin as you decide to expand into the UK front, Spain et cetera, as you have identified. Many thanks.
Mike Raya: Thank you. In terms of Advair, it is going to be a substitutable product upon approval. And in terms of interaction with the payers we have begun conversations with the payers, but in terms of details of those we’re really not at liberty to give at this point.
Khalid Nabilsi: Yes, in terms of the EU market opportunities. In terms of EU, our strategy was focusing more on getting into new markets as you mentioned, but we have a strong, I would say product portfolio that we registering some products. So far it's not like our strategy is to invest heavily in buying companies, but if we find the opportunity this is something that we would consider. But the reason that we've improved our margin this year by these new product launches and expanding into different geography and this is what resulted in improvement in margins. So, what was the other question that we haven't answered Said?
Jill Walton: Well, it was, looking at that your expansion more into Europe. I was just wondering whether, if you were going to be trying to target these other markets now that you've got this stronger portfolio we should factor the fact that, if you're going to -- for the first time into the UK, et cetera, there might be some initial losses as you expand into these other markets. So, it was more whether, your growth in the future, we should just consider that there is some upfront investment coming through and that would depress the margins as you try and go from your existing market presence into new markets or whether you can go into those effectively without depressing your margins?
Khalid Nabilsi: No, these are investments -- we're not talking about heavy investments, we're registering products and selling them out of our operation in Portugal or in Germany or in Italy. So, it does not involve heavy investments, it's normal marketing activities and these marketing activities will be of course in terms of cost benefits, it will be absorbed by the margin that these businesses -- the new business is going to generate. So, it's not -- we're not talking about heavy investment that could dilute the margin in one way or another. Riad would you want to add too?
Riad Mishlawi: The only thing I would say is that these markets are tender [ph] markets, so you really don't need to have the [indiscernible] marketing support. So, our focus was to service the U.S. market, but now by the expansion of our European, as we've mentioned, now we have more capacity to also service the European market and this is why we're looking at selling our product -- existing products in other markets. So, it's just really a great investment, it's just more an expansion of already existing products that we've here.
Khalid Nabilsi: And Riad is the Global Head of Injectables, just so you know.
Peter Verdult: Hi, Peter Verdult here from Citi. Three questions, two for Mike and then one for Said. Mike, on that 2017 guidance, 700 to 750, I know you have talked about Advair capacity and everything, but just for clarification so we’re all clear, if for whatever reason there is some sort of delay, that means that you cannot launch Generic Advair next year, am I right in thinking that the bottom end of that range is not the sort of back stop, though -- that clearly there be a bigger shortfall in terms of the revenue of U.S. generics? That's question number one.
Mike Raya: No, I think that's a fair statement.
Peter Verdult: Number two again, from the work that the team at Citi have done, it seems that that [indiscernible] situation has got more complicated over the last six to nine months, would you agree to that or do you have a different view?
Mike Raya: Definitely agree with that. The litigation and the talks continue, but that's pretty much as far as we can go with details on that.
Peter Verdult: Fair enough and then just back to branded, Said, just in terms of the markets that you're currently in across MENA, forget the expansion opportunities in Russia [ph] or Sub Saharan, but in the current countries that you're in where is the biggest incremental revenue opportunity, which countries can you -- are you most excited about in terms of growing the business? Thanks.
Mike Raya: All the markets we're in the MENA, all the markets have great opportunities. The markets that are having big difficulties right now are market -- countries like Iraq and Libya, where there is a lot of uncertainty. Syria we never really did any business there, so for us there were no opportunities lost. But North Africa, Algeria, Morocco, Egypt remain very opportunistic. We have talked about currency issues, but we’re -- by launching, continuously launching newer products we’re over coming this issue. And also we have -- three years ago we started this program to turn our manufacturing operations into really best in class operations, and we’ve talked about getting third party consultants working with us. And this is driving good cost control and higher productivity through the manufacturing. We’re also working with different kind of marketing, we’re focusing more digital marketing and other ways of marketing to maximize promotion to physicians. The GCC, the market themselves, obviously have been effected by the lower prices of oil, but as I would say, if we’re intelligent we should thrive in a market like this, because people can’t afford to buy the well extensive prices of the big pharma. So companies like us should really benefit from that, if we position ourselves as the right alternative for these. So I think the issue of the fluctuation in currencies has actually made us much more efficient, that has driven us to become more efficient and I’m very happy with the way that things are moving in MENA.
Khalid Nabilsi: Just want to add to what Mike, just said regarding Advair. We’re not assuming a significant amount of sales, like some of the analyst included certain numbers, which is in line with what we’re thinking. So we’re not talking about significant sales. Down the line business will continue to grow, there will be new product launches, so without -- even without Advair.
Paul Cuddon : Paul Cuddon from Numis, just three, four questions. Firstly on the specific market opportunities in injectables and the potential for them to continue throughout the rest of H2. And is there potential [indiscernible] into 2017 on your thoughts. And then secondly contract manufacturing is a good way of utilizing the capacity in injectables, those things could dampen the generic margin significantly this year. So I was just wondering if you could call potentially restructure the contract manufacturing in generics that it doesn’t impact margins quite so significantly in the future.
Riad Mishlawi: In terms of injectables there are obviously less competitions in injectables. We continue to grow that business, not only with our pipeline, we continue to optimize our portfolio, but our pipeline consist of internal R&D and external business development relationships and the side trances [ph] of all the Bedford products. So we continue to have an influx of new products coming through. That continues to give us leverage and good relationships with our customers. So that business continues to grow without interruption. With respect to contract manufacturing --.
Paul Cuddon : Do you see like -- the question on 2017, do you see anybody coming on this specific market opportunities or is this difficult to?
Khalid Nabilsi: In terms of 2017, do I see excess competition coming in, we really can't see that. I don’t see any additional right now, but in terms of market opportunities for our products, we have new products coming through as I told you and again with the portfolio we will continue to optimize that. With the contract manufacturing, we have obligations with BI for Columbus. We are taking a look at what agreements we do have and new contract manufacturing coming through the plants. But we are also optimizing our portfolio there as well to have additional capacity for contract manufacturing, so it doesn’t have a negative impact on the business moving forward.
James Ferguson: Okay, James Ferguson, JP Morgan. In the Generics business, would you be able to give us a split in terms of adjusted operating profit of the contribution from Roxane and from this historical business? And also the cost savings, would you be able to detail out where you expect to find those cost savings? And then on the Branded business, there is a 1% increase in revenue and constant currencies and a 28% increase in adjusted operating profit, could you go into a bit more detail about where that leverage is coming from in terms of cost savings plans and the weight of new products with a better mix? And finally would you be also provide us an updates on your plans for the meet [ph] of management for the Investor Day later this year? Thank you.
Said Darwazah: The cost savings for the Columbus site a lot of it through the integration, we have integrated a lot of departments such as finance and human resources, sales and marketing a lot of new terms and conditions that are favorable to us as a result of leverage of a larger portfolio. Procurement has also added a great deal of cost savings as well as right sizing the ship in terms of the correct amount of personnel necessary to run such a big operation. Those are primary drivers at this particular time.
Khalid Nabilsi : We are not giving guidance for the split of the Legacy business and Roxane, so what we have given on the Generic business is our guidance, so we can't give more details. But on the Branded business about the cost savings and cost efficiency, if you look into our gross profit margin you would see that there will be an -- there is an improvement in the gross profit margin. This reflects focus on high value of products and focusing on efficiency in manufacturing as well. At the same time it's an exercise done not just on operation and facilities, it’s across the Board, including sales of marketing. So across the whole functions within that division we are looking into how to improve our efficiency and focus on profitability. But basic -- mainly coming from gross profit margin, so improvement in the overhead and operation and product mix.
Said Darwazah: Plans Susan for the meet of the Management.
Susan Ringdal: [Technical difficulty] 14th of November in London for our Investor Day. [Technical difficulty].
Said Darwazah: Thank you very much everybody.